Operator: Good morning and welcome to the Northwest Natural Gas Third Quarter Teleconference. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I’d now like to turn the conference over to Bob Hess. Please go ahead.
Bob Hess: Thank you, Ashley. Good morning, everybody, and welcome to our third quarter earnings call. As a reminder, some of the things that will be said this morning contain forward-looking statements. They are based on management’s assumptions, which may or may not come true, and you should refer to the language at the end of our press release for the appropriate cautionary statements and also our SEC filings for additional information. We expect to file our 10-Q later today. As mentioned, this conference call is being recorded and will be available on our website following the call. Please note that these conference calls are designed for financial community. If you’re an individual investor and have questions, please contact me directly at 503-220-2388, media should contact Kim Heiting at 503-220-2366. Speaking this morning first are Gregg Kantor, President and Chief Executive Officer, and David Anderson, Senior Vice President and Chief Financial Officer. Gregg and David have some opening remarks and then we’ll be available to answer your questions, as well as other members of our executive team. With that, let me turn you over to Gregg.
Gregg Kantor: Good morning, everyone. Thank you for joining us for our third quarter earnings call and happy Election Day. Obviously the big news for the quarter is the recent decision on our Oregon general rate case, so this morning I’m going to start with an overview of the case and then turn it over to David to going to more depth on the financial implications as well as our third quarter results. I’ll end the call with a brief look forward and then open it up for questions. On the rate case, there is some good news, some disappointing news and some news yet to be decided. First, the disappointing news, in the order the commission determined that Northwest Natural’s annual revenue requirement should be increased $8.7 million or about 1% with an allowed rate base return at 7.78% and a loud return on equity of 9.5%. However, this increase includes recovery of amounts that had previously been differed to the companies decoupling mechanism which are managed about $15 million. David will describe this impact in more detail, but overall it means a net decrease of about $6 million in utility margin annually. Also in the case, the OPUC role that the company cannot recover increases and differed tax amounts caused by 2009 Oregon tax rate change. As a result, we have taken a one time after-tax charge of $2.7 million in the third quarter. Clearly those revenue impacts are disappointing and while the timing of this case wasn’t idle there were two issues that made it unavoidable, the first was the Encana transaction, after approving the $250 million gas reserves investment regulators wanted a chance to review our books, since the last general rate case and Oregon was back in 2003. The second reason was a push on our end. We needed to renew three key regulatory mechanisms critical to our revenue stability, and that leads me to the good news. In the case, we successfully retained decoupling, weather normalization and our system integrity program. These important mechanisms ensure we are protected from declining customer use warmer than average weather and regulatory lag from system investments driven by the federal pipeline safety requirements. In addition, the commissioned approved a request we made for a new site remediation and recovery mechanism that allows recovery of prudently incurred paths and future environmental clean-up costs, cost associated primarily with sites the company used to manufacture gas for customers as far back as the late 1800s. As many of you know, the company is currently involved in an EPA superfund cleanup of the Willamette River. This new mechanism ensures that prudently incurred cost not covered by insurance will be collected in rates. The first collections under the new mechanism will begin after the commission conducts at prudency review of environmental cost incurred to date, once the new mechanism is implemented we expect the result to be an additional 1% to 3% rate increase. While there will be no sharing on cleanup cost, the commission will apply an earnings test and exactly what that looks like will be determined in the future proceeding. It also say this was a very complex case with a number of difficult issues for the OPUC to rule on, and certainly it’s not normal course to have several important elements of a case differed to later proceedings but that’s exactly what happened here. So under the news yet to be determined category let me start with where we landed on pension expense. Rather than rule on Northwest Natural’s pension expense, the commission decide to open a new a docket to consider whether prepaid pension assets should be added to rate based for all Oregon utilities. Until the conclusion of that new proceeding, Northwest Natural will continue to recover it’s annual past 87 pension expense were amounts currently collected in customer rates or differed through a regulatory balancing account we have for collection and future rates. The OPUC also pushed three other issues in the future regulatory proceedings. The commission will open a new docket to review how Northwest Natural covers it’s caring costs on working gas inventory balances, cost we estimate to be about $4 million in margin annually. Historically, we’ve recovered these costs and rates and we’ll be fighting hard to pertain that treatment. The other issue commissions will take up separately is the review of the margin sharing agreement we have in place for our interstate storage in gas supply optimization activities. As you may know, for those gas supply resources that customers are now paying foreign rates we have a sharing agreement to optimize those resources, where 67% of margins go to customers and 33% are retained by shareholders. The OPUC wants a chance to review that agreement and assess whether it should be revised. And then the final issue that remains open is the rate recovery of our Mid-Willamette Valley system three enforcement project that recently went into service. The commission rules that we hadn’t yet demonstrated the prudency on the timing of that project. We expect that will have to come back with more analysis on the reliability issues that drove us to construct this reinforcement of our system. As I said, the rate case outcome is mixed with some good news and some disappointing news, but in the month ahead we’ll be working hard on a positive resolution of the remaining issues, issues that have important revenue implications for us. We are successful the amounts we collect will be in addition to the $8.7 million increased to base rates are referred to earlier. Before turning it over to David, let me touch on what the rate case and the PGA need for customers. For the fourth consecutive year, our customers will see a rate reduction from lower gas prices. In Oregon, the gas cost decreased coupled with the change to base rates means an overall reduction for residential customers of about 5%, and about 6% for commercial customers. In Washington residential and commercial customers will see about an 8% rate reduction, and in both states industrial customers will see about a 15% drop. Over the last 40 years, our customers have saved about $400 million because of lower gas prices largely driven by the search in domestic supplies. Obviously customers like lower prices and that translates into higher satisfaction but with prices dropping so significantly, we are also seeing an increase in business activity that just hasn’t been there in several years, which is maybe I’ll touch on David gives his report. David?
David Anderson: Thank you, Gregg, and good morning everybody. I will first quickly review results for the quarter and the year-to-date periods and then provide some additional detail on our Oregon general rate case outcome and its expected impact on financial results for the reminder of the year. First to the quarter results, we’ve recorded a third quarter net loss of $10.6 million or $0.39 per share. This compares to a loss of $8.3 million or $0.31 per share last year. Results include a one time after-tax charge of $2.7 million for the right off at differed stayed taxes as Gregg mentioned earlier. Excluding this one time charge, operating results for the quarter would have produced a net loss of $7.9 million or $0.29 per share. Utility Operations in the quarter generated a loss of $11.9 million, which compares to a loss of $9.5 million last year. Gas storage contributed net income of $1.3 million in the quarter compared to $1.2 million last year. Total gas deliveries in the third quarter were essentially flat compared to the prior year, the 158 million therms. Sales of gas to residential and commercial customers in the quarter were also essentially flat at 53 million therms. Gas deliveries to industrial customers in the quarter were 105 million therms up slightly from a 104 million therms last year. Total utility margin in the quarter increased 3% to $42 million compared to $41 million last year. The margin increase in 2012 largely due to customer growth and an increase in revenues from our gas costs incentive sharing mechanism in Oregon. The company’s weather and decoupling mechanisms in Oregon adjusted margins up by about $300,000 compared to a margin decrease last year of a $100,000. Operations and maintenance costs for the third quarter were $600,000 higher or 2%. The primary reasons for the increase were higher costs for safety enhancements, business development, information technology system’s maintenance and other customer service cost. For the year-to-date period ending September 30, net income was $32 million or $1.17 per share compared to approximately $35 million or $1.30 per share last year, both periods included onetime charges. This year-to-date period includes the after-tax right off the differed tax was up $2.7 million previously mentioned. The year-to-date 2011 results include a onetime after-tax right off of $4.4 million related to the repeal of utility tax legislation formally known as Senate Bill 408. Excluding these charges, operating results for the first nine months of 2012 will have produced net income of approximately $34 million or a $1.27 per share compared to approximately $39 million or a $1.46 per share last year. Utility operations contributed net income of $28 million or a $1.05 per share compared to $32 million or a $1.19 per share in the first nine months of 2012. Gas storage contributed approximately $3.2 million of net income in both periods. Total gas sales and transportation deliveries through September, excluding deliveries of gas stored for others, totaled 786 million therms, down 2% from 802 million therms last year. The decrease in usage was mainly due to weather that was 8% warmer than a year ago but 2% colder than average. Margin for the year-to-date period was $237 million versus $230 million last year. ///// Last year. We added approximately 6,900 customers over the last 12 months which increased our growth rates to 1% as compared to 0.8% a year ago. Sales volumes to residential and commercial customers were 437 million therms compared to 457 million therms last year. Again the decline is due mainly to weather that with 8% warmer than last year. Margin from residential and commercial customers totaled $207 million versus $211 million last year. Our weather and decoupling mechanisms adjusted margin up by $2.9 million in the first nine months of this year, compared to a margin adjustment increase of $200,000 last year. Gas deliveries to industrial customers were up 1% for the first nine months of 2012 with margin essentially flat. Our gas cost incentive sharing mechanism in Oregon provided a margin contribution of $3.6 million in the first nine months of this year, compared to a contribution of $1.3 million last year. Year-to-date, O&M expenses were $5.6 million higher. This was primarily due to higher utility payroll and benefit costs related to an increase in field service employees, higher utility costs for new employee training and expenses related to the Oregon general rate case. Our bad debt expense, as a percent of revenues, remained well below 1% at 0.23% for the 12 months ended September 30. And now, some additional detail on the rate case. As many of you know, late last year we filed our first rate case in Oregon since 2003. We filed for an increase in revenue of about $44 million equivalent to a rate increase of 6.2%. Of that amount, about $15 million as Gregg mentioned was due to amounts already being collected from customers through our decoupling mechanism. The filing initially requested an authorized overall rate of return on rate based of 8.28% with the return on common stock equity of 10.3%. We later revised our ROE request to 10% due to movements in interest rates. Over the course of the past 10 months, party to the rate case agreed to two partial settlements or stipulations which the commission approved in this order that address many O&M issues and included the approval of our decoupling weather normalization and system integrity programs. In the final order, the OPUC determined that our annual revenue requirements should be increased $8.7 million or 1.2% as Gregg mentioned with a loud overall rate of return on rate base to 7.78% and a loud ROE of 9.5%. This is applied to a 50-50 cash structure. Rates are effective November 1st. As previously mentioned, this increase includes recovery amounts that had been previously deferred to the company’s decoupling mechanism. As a result, the overall effect on the company is a net decrease in utility margin of approximately $6 million on an annualized basis. For this year, we estimate the impact of loss margin to be between $2 million and $3 million. As Gregg mentioned, three outstanding issues will need to be resolved in future proceedings with the OPUC. The first is the review of how the company recovers its working gas inventory costs. The company estimates those carrying costs to be about $4 million in margins each year. The company has historically recovered these costs used in overall cost to capital rates. As part of the final order, the company will defer carrying costs at its new cost of capital rate until this issue is resolved. Second, the PUC will be opening a new docket to consider whether prepaid pension assets for Oregon utilities should be added to rate base. Until the conclusion of that new proceeding Northwest Natural continue to collect and defer pension costs based on FAS 87 expense methodology as we had done in the past. This is a very important issue for us and many utilities in the country and was a large part of our original revenue requirement request. We filed a deferral order early last week requesting COGS capital treatment while this issue is being resolved. Third, the commission plans to review the company’s revenue sharing arrangements on its utility storage and pipeline asset management activities. In addition, the commission delayed the inclusion of approximately $19 million of pipeline investment needed for reliability to the southern part of our system. We have continued need for reliability investment in this region and will request this capital be included in rates in a yet to be determined future proceedings. Also in the order, the Public Utility Commission ruled that the company cannot amortize amounts that represent the increase in deferred taxes caused by the 2009 Oregon tax rate change. As a result, as we reported earlier, we are now taking a one-time charge of $2.7 million after-tax in the third quarter related to this item. As a result of the rate case outcome, we are now revising our 2012 earnings per share guidance down to $2.20 to $2.40 per share. This revisions reflects the one-time write-off of deferred taxes and the lower than expected revenue requirement granted. This guidance assumes a continued weak economic recovery, customer growth, normal weather conditions and no additional significant changes and prevailing legislative of regulatory policies or outcomes. With that, I’ll turn it back over to Gregg to wrap things up before we take your questions.
Gregg Kantor: Thanks, David. Clearly our focus will be on achieving a positive outcome on the remaining issues from the rate case this year, issues that really are important to resolve in 2013. On the growth front, the fourth consecutive year of lower natural gas prices is fueling some new momentum in the market. You heard from David that our customer growth rate has picked up to 1%. We’re still far from where we were before the recession, but after such a prolong gift in the housing sector, we’re pleased to report some positive movement. Housing prices and sales are up and like the nation overall, housing starts in Oregon have increased significantly from their recessionary lows. As you know, the improvement in the single family sector has been two steps forward and one step back. The good news is, as we move into the fourth quarter, this year is shaping up to be the strongest for new construction start since the end of the recession. While things are slowly improving in the housing sector, where we’re really seeing the impact of lower gas prices is in our large customer segments. In the past 18 months, a total of 30 new large commercial and industrial customers have signed up for natural gas service. The typical rate is closer to five or six a year. And these new customers are a mix of conversions and new businesses, which is a good economic sign. We’re working hard to capitalize on this surgeon business activity and will be aggressively marketing our price advantage over oil and electricity in the months ahead. We also remain hopeful that we will be able to begin working on another expansion of our Mist storage facility next year. As I mentioned on our last call, we have signed an agreement to potentially provide PGE with storage services from our Mist facility. This agreement is depended on PGE being a successful bidder in their open bidding process to provide flexible power generation to their customers. The PGE if successful, it would be supportive of further development at Mist. At this point, we won’t know more until the end of the RFP process, which is expected to be sometime next year. Let me finish by saying that while our rate case wasn’t – result wasn’t all we had hoped for, it accomplished our most fundamental objective, approval of decoupling, weather normalization, the system integrity tracker and the new environmental recovery mechanism provides us a stable base of which to grow. Now up to us to make the most of our physician going forward and that means remaining sharply focused on the basics of our business in 2013, managing the remaining regulatory items through to a positive conclusion, taking advantage of new revenue opportunities in our core utility and gas storage businesses and continuing to deliver safe and reliable service to our customers. The bottom line is, we are a gas distribution company and we’re clear about the value we provide to our customers and our shareholders. We have dedicated employees focused on providing superior service. We have a great service territory and a preferred product that commands a strong competitive advantage in the market. And for the 57th consecutive year, we’ve increased dividends paid to our customers. We know who we are, and what we need to accomplish going forward. With that, I’ll take your questions.
Operator: (Operator Instructions) Our first question comes from Winfred (indiscernible).
Unknown Analyst: Hi, good morning. Thank you. I’ve been looking at the – your company’s growth rate for the past years and again in the third quarter. And I’m wondering over the next five years, what will drive your earnings growth because even though our residential customer growth increases it’s by no means sufficient to provide meaningful earnings growth, if you agree with me if you wish.
David Anderson: Hi, Winfred, it’s good to see you again. This is David. Obviously the utility about 90% of our overall earnings comes from the core utility, so we’re tied closely to the economic vitality of the regions, so customer growth going forward would be one-time and as I think you recall we have a good conversion opportunity in this part of the country. So as customer growth as you would expect the economy to improve that will provide additional earnings growth going forward, but by the largest leverage item for us in the near-term is with our storage properties and specifically our California property. So as storage, depending on your views, the storage pricing improves going forward or not then that has the biggest overall impact on the near-term basis in terms of earnings and the earnings growth for the company.
Gregg Kantor: I could also say, Winfred that, this is Gregg. We remain highly focused on residential is very important key segment for us. But I think for us and probably for gas utilities elsewhere in the country, the industrial segment is becoming even more important. We’re talking to businesses, as I said, we have 30 new gas industrial customers some of which are new which are getting a lot of folks converting their processes to natural and I expect that to be a growing segment for us and I suspect around the country as well.
Unknown Analyst: Okay, that’s helpful. Thank you very much.
Operator: And our next question comes from John Hanson of Praesidis.
Gregg Kantor: Good morning, John. John, you there?
David Anderson: Actually it looks like he dropped off.
Operator: Okay. And then our next question will be from Michael Bates of DA Davidson.
Michael Bates – DA Davidson: Hey good morning.
Gregg Kantor: Good morning, Michael.
Michael Bates – DA Davidson: As we talk about these items that have been deferred from the rate case, we know that they should be decided in 2013. Do we have any visibility as to whether it’s early in the year, late in the year?
Gregg Kantor: We don’t, not yet. Again, we’re still operating on a preliminary order, so we expect the final order on the case itself to show up any day now and then they’ll probably a little while before we get scheduled setup for the docket. So those will be proper proceedings and you can track them but right now we haven’t had any discussions about how quickly the dockets are going to be setup.
Michael Bates – DA Davidson: You have a sense as to whether there would be a statutory limit as to how long they could take?
Gregg Kantor: No, but it’s clear on some of them that and if it’ll be in everybody’s interest to get them done certainly before the next PGA because the cost either increases or decreases will want to be rolled into the next PGA. So my suspicion is you get them done by the end of August versus September.
David Anderson: Yeah we update rates, Michael, in November 1 with rates referring and I agree I think that would be the time that we would all want to get things in place.
Michael Bates – DA Davidson: Sure. And then as we think about 2013, we’re seeing a lot of utilities talk about lower discount rates for their defined benefit plans. Obviously you’re coming right out of a new rate case if you’re in Oregon. So how effectively will this rate case help you in managing potentially higher pension expenses next year?
David Anderson: Well Michael this is David. As you recall, we have a balancing account already approved by the PUC and that’s in place. So during this period of time when we’re working through this from an income statement perspective, you’ll see little change there, any decrease in the discount rate which raises the expenses will be covered in the deferral account. The bigger issue that we’re trying to address is the mechanism is a little bit broken right now with the pension protection act requiring companies to fund quicker than what the old FAS 87 methodology kind of put in place. And so that’s what we will be working with the commission on this year saying that the shareholders funded the money and they need to have a reimbursement of that money or at least a return on that money during this interim period of time. But from an income statement perspective, I want to make sure you understand the balancing account will take into account that increase, any increase from lower discount rates.
Michael Bates – DA Davidson: Thank you.
Operator: And our next question is from Spencer Joyce of Hilliard Lyons.
Spencer Joyce – Hilliard Lyons: Good morning guys. How are you?
David Anderson: Good morning, good.
Spencer Joyce – Hilliard Lyons: Okay. Couple of quick questions here. Sort of to somewhat follow-up on Michael’s question there on the timing issues for the outstanding issues, the rate case, I known is the guidance range is still at $0.20 here. And my first inclination is that we may have one or two of those pump into Q4 which it sounds like is probably not going to happen, but what are some of the drivers that could pop up in Q4 that will push us either towards the bottom end or the higher end of that range?
David Anderson: Yes, Spencer, this is David. We did not the change the width of the guidance range. In general, I’m not sure anything from the rate case is going to be a driver in the fourth quarter, unless we see something in the final order frankly that’s different than what we’ve seen in the preliminary order. That’s the only thing that I can personally think of from a rate case perspective that would have an impact on the quarter then you’re back to just normal operating type issues which for us specifically, there is still weather exposure in parts of our rates, storage, pricing and optimization could be a benefit during that period of time. But very few items have a material impact in the fourth quarter.
Spencer Joyce – Hilliard Lyons: Okay. Kind of the usual weather in storage suspects there.
David Anderson: Yeah, go ahead.
Spencer Joyce – Hilliard Lyons: To switch gears a little bit, talk a little bit more about the customer growth. I know you all mentioned the 30 large new industrial customers over the, I believe was it 18 months, is that right?
Gregg Kantor: Over the last 18 months, yes.
Spencer Joyce – Hilliard Lyons: Okay. Is there still a pretty good pipeline there? You may have alluded to that there may have been, you all still see some opportunity there in your territory or do you feel like maybe some of the low hanging fruit there has already been plugged?
Gregg Kantor: No, I think there is opportunity for us there. Again you got to remember that the Northwest has been very, very – even on the industrial side very dependent on electricity and oil for a long, long period of time and we are – we have a pretty good size manufacturing segment in our service territory and the cost differential is pretty impressive. And I think you’ll continue to see that particularly as electric prices go up which we expect to see continuing. So I think there is – that is an area rich for us to mine.
Spencer Joyce – Hilliard Lyons: Okay. And on the residential side, I would maybe splitting hears here a little bit, but would you attribute more of the growth there to the uptick in housing and construction or maybe to the low cost tailwind and sort of that price advantage that natural gas has compared to…
Gregg Kantor: Well it’s not 50-50. If I have that right?
David Anderson: Yeah, it’s interesting. We’ve actually seen an uptick in our new construction where about 56% of that growth for the year is from new construction and then as you know Spencer, we also have conversion opportunities which represent the other 44%. So the uptick is really tied directly to the economy with the new construction which I think is a positive sign.
Gregg Kantor: That’s right. We’ve had 50-50 conversion new construction.
Spencer Joyce – Hilliard Lyons: Yeah, I agree there. New construction is pretty fantastic, I mean, I feel like that I feel little bit more sustainable than the few conversions here and there. So that’s…
Gregg Kantor: Yeah, for us – go ahead.
Spencer Joyce – Hilliard Lyons: Yeah. No that’s all I had there. Final point, I just want to talk a little bit about the O&M expense. I know when you’ve talked a time or two that we expected a little bit higher growth for the full year, but this quarter is for you actually came in a little bit better than we were modeling and expecting. Do you all feel that we kind of reached a natural rate of growth here that we’ve seen some of the one-time hiring and promotion and odd cost. Are they coming down a little bit or we getting kind of some of those?
Gregg Kantor: Yeah we’ll have some costs from this rate case like we have – we’re not going to be implementing new service windows for our customers. So there is going to be some increases going forward, but what this company has done for a long time is to try to manage its own end cost below inflation rates and that would be something that we would be targeting again going forward.
Spencer Joyce – Hilliard Lyons: Sounds good. It’s all I have. Thanks guys.
Operator: (Operator Instructions) And our next question is from John Hanson of Praesidis.
Gregg Kantor: Good morning John.
David Anderson: Yeah, we’re having trouble with John again.
Gregg Kantor: Yeah.
Operator: Okay. (Operator Instructions) Are you there Mr. Hanson?
John Hanson – Praesidis: All right, let’s try this again. This would work now?
Operator: Yes.
John Hanson – Praesidis: All right, great. I got too many electronic things here. Winfred’s question on storage. Just want to follow-up what you’re seeing for the storage market, I know we’ve been following this for a couple of years here with the Gill Ranch and the Mist, what do you’re seeing now here as compared to last quarter or two?
Gregg Kantor: Well, the current year intrinsic value IBs are still very week, and as I said in the past, they fluctuate up and down and right now they’re kind of in a very week state but again for us it really doesn’t affect the mist storage facility very much because it is so driven by utility interest in storage. It has more of an impact down in Gill Ranch, we’re working there as well to try and identify utility customers for our storage projects and that really is the focus of our work for this coming and going forward. And we’re having some success we’ve, even from the beginning we’ve got a couple of utilities with contracts and that’s really where we’re going to see the improvement I think in storage values, not in the sort of market or IB, EB range, if that does just continue to remain very week.
John Hanson – Praesidis: Okay great, thanks. The next question I had was on the – we’ve had a couple of big pipeline opportunities that have been kind on the drawing board, any update on those?
Gregg Kantor: Yeah little bit, just referring Palma pipeline, we continue to push on that, we are revising – last year we pulled the permit basically to do some rerouting of the pipeline itself and to make some other changes, short net. We’ve actually at this point are working on a new president agreement between Northwest Natural and Palma, we’d be one of the shippers on the pipeline but a big part of the movement on the project will be determined by who wins and what the eventual outcome is of PGE is RFP for both are base load generation and they’re peeking generation but we expect next year to begin working on identifying additional shippers, hopefully by mid-year to be in a position to re-file our permit process. Again though, I would put that if my timeline and if it does proceed in that timeline, I’d tell you, you’re still probably five years out before you get the thing built and in service, couple of year to permit two to three to build something like that, so it’s out there. Again, I’ll tell you though that the – with what we’re seeing the way of increased gas use in the Northwest we continue to believe it’s a question of not, if we need another pipeline but when.
John Hanson – Praesidis: Okay, great. Well I might just follow-up one more item on after the rate case here.
Gregg Kantor: Sure.
John Hanson – Praesidis: There is a couple of things that you’re saying you’re working on here post rate case, is that really kind of preclude going back in for anything more for a while then right?
Gregg Kantor: Well, I would – if you ask you, if the question is another rate case I don’t think you’ll see us filing in other rate case in Oregon with these proceedings going on at least in the next six to nine months. We are working on lots of other things that required sort of regulatory issues around business development and other things, smaller stuff but I don’t see a new rate case before the end of these dockets.
John Hanson – Praesidis: Okay, thanks.
Gregg Kantor: Welcome.
Operator: This will conclude our question-and-answer session. I’d like to turn the conference back over to Mr. Gregg Kantor for closing remarks.
Gregg Kantor: Thank you. Again, thanks for joining us and let me just finish by saying for those of you in New York and New Jersey we’re thinking about you and we wish you all the best and the recovery efforts from the storm. The pictures here show a pretty dramatic outcome from Sandy and we wish you the best. With that, we’re done.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.